Operator: Good morning. My name is Pam, and I will be your conference operator today. At this time, I would like to welcome everyone to Tennant Company's First Quarter 2021 Earnings Conference Call. This call is being recorded. There will be time for Q&A at the end of the call if you would like to ask a question. After the Q&A, please stay on the line for closing remarks from management [Operator Instructions]. Thank you for participating in Tennant Company's First Quarter 2024 Earnings Conference Call. 
 Beginning today's meeting is Mr. Lorenzo Bassi, Vice President, Finance and Investor Relations for Tennant Company. Mr. Bassi, you may begin. 
Lorenzo Bassi: Good morning, everyone, and welcome to Tennant Company's First Quarter 2024 Earnings Conference Call. I'm Lorenzo Bassi, Vice President, Finance and Investor Relations. Joining me on the call today are David Huml, Tennant's President and CEO; and Fay West, Senior Vice President and CFO. 
 Today, we will provide an update on our 2024 first quarter performance. Dave will discuss our results and enterprise strategy, and Fay will cover our financials. After our prepared remarks, we will open the call to questions. An earnings press release and slide presentation that accompanies this conference call are available on our Investor Relations website. 
 Before we begin, please be advised that our remarks this morning and our answers to questions may contain forward-looking statements regarding the company's expectations of future performance. Such statements are subject to risks and uncertainties, and our actual results may differ materially from those contained in the statements. These risks and uncertainties are described in today's news release and the documents we file with the Securities and Exchange Commission. 
 We encourage you to review those documents, particularly our safe harbor statement, for a description of the risks and uncertainties that may affect our results. Additionally, on this conference call, we will discuss non-GAAP measures that include or exclude certain items. Our 2024 first quarter earnings release includes the comparable GAAP measures and a reconciliation of these non-GAAP measures to our GAAP results. 
 I'll now turn the call over to Dave. 
David Huml: Thank you, Lorenzo, and hello, everyone. On the call today, I will be discussing highlights from the first quarter of 2024, our outlook for the remainder of the year and the progress on our enterprise strategy. Building on the momentum of our record-breaking year in 2023, we delivered a strong first quarter supported by our new enterprise strategy, which we activated at the beginning of the year. 
 Lapping a previous record high first quarter in the prior year, which also marked our first full quarter in our journey to meaningfully reduce backlog. We achieved organic net sales growth, gross margin expansion and EBITDA growth. For the first quarter of 2024, net sales increased to $311 million and adjusted EBITDA rose to $54.9 million, resulting in an adjusted EBITDA margin of 17.7%. We meaningfully reduced backlog for the fifth consecutive quarter, capturing the pricing benefits embedded within it and expanded gross margins. 
 Pricing realization and increased sales mix in higher-margin equipment and channels drove our gross margin performance in the quarter. I am pleased with the enterprise performance during the quarter, in line with our expectations and setting us up to deliver on our 2024 full year guidance. While we got a strong first quarter as a company, our business results vary by geography. In the Americas, we are driving strong order rates as we continue to reduce backlog, which is primarily isolated to our industrial machines.
  Based on a strong pipeline of opportunity within the region, including growth investments we've made in new products and go-to-market expansion, we are confident that we will continue to build on our success in the region. In EMEA, we had a challenging first quarter. We continue to see a declining macroeconomic environment and we were lapping a previous quarter with higher backlog benefit. While results are below our expectations, we believe that our market position in the EMEA region remains strong, and we expect to be able to deliver stronger results in the latter half of the year through new product launches and go-to-market investments, including our acquisition of TCS and expanded countries to sell IMOP products. 
 In APAC, our performance in the quarter was impacted by phasing of customer order timing. We anticipate continued demand for our products and have confidence in our full year growth targets in the region. Day will provide additional context on our overall financial performance for the quarter and our full year guidance, which we are reaffirming. Our performance to start the year has given us a solid foundation to continue to execute on our enterprise strategy. 
 Last year, we introduced the 3 pillars of our new enterprise strategy, growth, performance and people. We continue to resource and activate targeted initiatives across each of these pillars, and I'd like to take the opportunity to provide you with a couple of key updates. Within our growth pillar, we are leveraging product innovation to drive differentiated revenue growth. The X4 ROVR is our first purpose-built autonomous floor premium machine and our fourth robotic scrubber. 
 The X4 ROVR offers greater maneuverability, specifically designed for operation in smaller spaces. It's compact size, improved obstacle detection and enhanced mobility will result in fewer assists and deliver a step change improvement in customer ROI. The new X4 ROVR is the first machine to be powered by the next-generation BrainOS Robotics platform available exclusively on Tennant company AMR machines. 
 The X4 ROVR offers a competitive price point for customers and includes an all-in-one AMR solution with the robot, service contract and autonomy services bundled as a signal solution sold by Tennant. This new approach simplifies the buying experience for customers and results in Tennant benefiting from recurring revenue for autonomy services moving forward. Interest from our customer base has been strong, and we are evaluating options to capitalize on anticipated demand. 
 We have teams reviewing strategies to: 1, increase the manufacturing capacity of the X4 ROVR to maximize production and delivery commitments in 2024; and 2, accelerate the launch of new ROVR products beyond BX. The X4 ROVR is an important addition to our complete suite of AMR products, complementing a lineup that has seen over 6,500 units deployed globally and has driven more than $200 million in revenue since launch. Each of our AMR products are designed to meet the unique needs of our customers, offering tailored solutions for a variety of applications.
  Retail customers will appreciate the X4 ROVR r's compact design and maneuverability while our industrial and warehouse customers benefit from the increased efficiency and larger capacity provided by our larger AMR models like the T16 and T380. We continue to see strong demand and interest in each of our AMR units, demonstrating the potential for continued growth across our full AMR portfolio. Improving the customer ROI is one of the key drivers of customer adoption, and we are well positioned with our expanded AMR portfolio and deployment capabilities to deliver to customer expectations. 
 Within the growth pillar of our enterprise strategy, we are also focused on innovation within the small space segment. Small spaces today are largely still claimed with labor-intensive manual cleaning tools. This presents an opportunity for Tennant to help our customers solve their largest challenges with labor cost and availability by delivering mechanized solutions that greatly enhance labor productivity while delivering better cleaning performance. 
 Today, we are excited to announce the international expansion of the i-mop family of products. Tennant's branded i-mop Lite and i-mop XL Plus scrubber products will now be available in Brazil, France, Portugal and Spain. This product portfolio expansion will enable a broader range of customers and opportunity to elevate their cleaning standards. The international launch of the Tennant branded i-mop family of products represents the next phase of Tennant Company's partnership with IT Global, a developer of innovative solutions for the small space cleaning industry. 
 Cleaning teams worldwide have already embraced the i-mop for its efficiency, durability and reliability. This technology brings together advanced mechanized cleaning with the unmatched responsive expertise of Tennant service and support to help our customers deliver more efficient and effective cleaning performance. Also within our growth pillar is our M&A strategy, which prioritizes opportunities that provide Tennant with the right strategic value, operational fit and financial return.
 Aligned with our M&A strategy, our previously discussed minority equity stake in Brain Corp has allowed us to unlock the commercial advantages we articulated with the X4 ROVR launch, including exclusivity and annual recurring revenue participation. In addition to the investments in Brain, we also announced our acquisition of TCS, Tennant Company's long-standing distributor based in Austria and with branches serving countries in Central and Eastern Europe, Africa and the Middle East. The acquisition of TCS gives us direct access to an established customer base in the EMEA region, allowing us to deepen and extend our customer relationships in these higher-growth markets. 
 The acquisition aligns with our M&A priorities, enhancing our ability to defend and grow our cleaning core by strengthening our channel position and is expected to be accretive to our EBITDA already in 2024. As a long-time distributor of Tennant products, TCS has experienced teams in these countries who have cultivated a strong customer base that knows and appreciates Tennant innovation and quality. Having a direct presence and broader footprint in these high-growth geographies is one of our key enablers of market share growth and strengthens our ability to deploy new products like AMR in this region. 
 We look forward to growing in this region by building on the strong foundation that TCS team has already built. We are already hard at work on integration and working with the local teams to realize the full benefits of our acquisition. Our successful execution on our M&A strategy is due to our financial strength and disciplined capital allocation strategy. In 2023, we prudently managed our balance sheet and converted over 100% of net income to free cash flow, ending the year with over $115 million of cash. 
 As we continue to generate strong cash flow and maintain a strong balance sheet, we are well positioned to take action on our target opportunities aligned with our M&A strategy. We are excited about the opportunity to share more details with you about our new enterprise strategy and invite you to attend our upcoming Investor Day on May 13. This event will be held at the New York Stock Exchange and will include presentations about our unique product portfolio and aftermarket strategy that sets us apart from the competition.
 Operating in an expanding market underpinned by global mega trends and backed by a strong balance sheet, we are excited to have the opportunity to share our vision for continued growth and innovation in mechanized and sustainable cleaning. To register for the event, please visit our investor web page. We encourage you to attend the event in person to meet with additional members of our management team and view our innovative new products, including the X4 ROVR. 
 With that, I will turn the call over to Fay for a discussion of our financials. 
Fay West: Thank you, Dave, and good morning, everyone.
 In the first quarter of 2024, Tennant delivered GAAP net income of $28.4 million, an increase of 16.9% over the prior year period. Strong net income performance in the quarter was driven by higher net sales and a significant improvement in gross margin from higher price realization and favorable product and channel mix. Operating expenses were higher in the current year due to ERP implementation costs and transaction costs associated with our investment in Brain Corp and the acquisition of TCS. 
 We continue to make progress on our ERP implementation journey. The project is on track, and this year, we will focus on the design and build phase of the implementation with a phased go-live approach beginning in early 2025. Looking beyond operating income, interest expense in the first quarter was $1.4 million lower than the prior year period, driven mostly by lower debt balances as we meaningfully reduced debt during 2023. 
 Our average interest rate, net of hedging for the first quarter of 2024 was 3.94% compared to 4.29% in the prior year quarter. Income tax expense in the quarter was $1 million lower than the prior year period, and the effective tax rate was 19.1% in the first quarter of 2024 compared to 24.1% in the prior year period. The decrease in income tax expense was driven by a discrete tax benefit associated with employee stock option exercises. 
 We anticipate that our full year effective tax rate will be within the guided range of 22% to 27%. Excluding ERP implementation costs and transaction-related costs, adjusted net income in the first quarter of 2024 was $34.7 million compared to $27.1 million in the prior year period, a 28% increase. Adjusted EPS for the first quarter of 2024 increased 24.8% to $1.81 per diluted share compared to the prior year period. 
 Looking a little more closely at our quarterly results. For the first quarter of 2024, consolidated net sales totaled $311 million, a 1.7% increase compared to $305.8 million in the first quarter of 2023. On a constant currency basis, organic sales increased 0.9%, driven primarily by price realization and product and channel mix. Volumes in the current period were impacted by a volume decline in EMEA and a change in product mix, specifically a shift from smaller commercial equipment to larger industrial equipment. 
 Backlog shipped in the quarter was largely concentrated in our large industrial equipment, which generally have a higher average selling price per unit. As a quick reminder, we group our net sales into the following categories: Equipment, parts and consumables and service and other. We experienced growth in both equipment and service product categories in the first quarter of 2024 as compared to the prior year period. Equipment net sales grew 1.8% and service grew 10%.Parts and consumables declined 3.8%, primarily driven by volume decreases in North America and EMEA. 
 Tennant also grouped its sales into 3 regions: the Americas, includes all of North America and Latin America; EMEA, covers Europe, the Middle East and Africa and Asia Pacific includes Australia, China, Japan and other Asian markets. Organic sales in the Americas increased 5.1% compared to the prior year period. The increase in the Americas was driven primarily by price realization and favorable product and channel mix across the region. This was partially offset by unit volume decreases in North America, specifically in our commercial application machines, which had a higher backlog benefit in the prior year period. 
 Organic sales declined 9.2% in EMEA due to volume declines in both equipment sales and parts and consumables, partially offset by price realization in all product categories. EMEA volumes, particularly in France and Germany were impacted by weaker-than-expected market conditions. Organic sales decreased 1.1% in APAC, primarily due to volume declines in Australia and China, partly offset by price growth in Australia. Adjusted EBITDA for the first quarter of 2024 was $54.9 million or 17.7% of sales, up compared to $47.9 million or 15.7% of sales in the first quarter of 2023. 
 Gross margin increased to 44.2% in the first quarter -- a 320 basis point improvement from the prior year period, which contributed an incremental $16 million to adjusted EBITDA. The improvement in gross margin was attributable to price increases as well as product mix as we saw a higher level of direct sales in industrial equipment, which have a higher profit margin profile. Adjusted SG&A expense in the quarter totaled $85.9 million, a $4.2 million increase compared to the first quarter of 2023. Adjusted SG&A expense as a percent of net sales was 27.6% compared to 26.7% in the first quarter of 2023. The increase was driven in part by incremental compensation expense on headcount increases related to the company's enterprise strategy. 
 Turning now to capital deployment. Net cash provided by operating activities was $2.9 million in the first quarter of 2024 compared to $31.1 million in the year ago period. The decrease in operating cash flow was due to increased variable compensation payouts related to the strong operating performance in the prior year as well as ERP implementation costs, resulting in a roughly flat free cash flow. Excluding non-GAAP costs, free cash flow was $7.1 million for the first quarter of 2024. 
 The first quarter tends to be the lightest free cash flow period, and we expect to meet our 2024 target of converting 100% of net income to free cash flow. Our strong financial position exiting 2023, provided us significant flexibility to execute on our M&A strategy, deploying $32.1 million towards an investment in Brain Corp and $25.5 million to acquire TCS. In addition to M&A, the company continues to prioritize cash flow towards operational needs, investing $3 million in capital expenditures during the quarter. 
 The company also returned $6.4 million of capital to shareholders through dividends and opportunistic share repurchases during the quarter. Tennant's liquidity remained strong with a balance of $88.8 million in cash and cash equivalents at the end of the first quarter of 2024 and $321.8 million of unused borrowing capacity on the company's revolving credit facility. The company continues to effectively manage debt and maintain a strong balance sheet. Our net leverage was 1.05x adjusted EBITDA within our targeted range. 
 Moving to 2024 guidance. Overall, demand remains resilient, and we continue to reduce backlog but expect to end the year at a higher-than-normal backlog level. We are monitoring global order rates very closely and anticipate year-over-year growth in all of our geographies. We will remain disciplined and prudent in our spending, focusing our investments in areas that position us for future growth and increased operating efficiencies. 
 For 2024, Tenet reaffirms the following guidance: net sales of $1.27 billion to $1.295 billion, reflecting organic sales growth of 2% to 4%. Adjusted EPS of $6.05 to $6.65 per diluted share, which excludes certain nonoperational items and amortization expense, adjusted EBITDA in the range of $198 million to $213 million, adjusted EBITDA margin in the range of 15.6% to 16.4%, capital expenditures of $20 million to $25 million and an adjusted effective tax rate of 22% to 27%, which excludes an adjustment for amortization expense. 
 With that, I will turn it back to Dave. 
David Huml: Thank you, Fay. 
 In summary, I am very proud of the global team and our ability to continue our growth trajectory as we are lapping a strong prior year. The investments we are making and innovative products we are delivering to our customers position us well to deliver on our full year guidance. We have a few upcoming events if you wish to learn more about our company and the direction we're heading. In addition to hosting our Investor Day on May 13 at the New York Stock Exchange, we will also be participating in EF Hutton's Annual Global Conference in New York on May 15. 
 With that, we will open the call to questions. Operator, please go ahead. 
Operator: [Operator Instructions]. And your first question comes from the line of Steve Ferazani of Sidoti. 
Steve Ferazani: I appreciate all the detail on the call. It sounds like a lot of stuff is moving in the right direction for you right now. Q1 EPS was clearly well ahead of it might have been -- might have matched your expectations, it was well, well ahead of ours. I feel like -- and this is -- I feel like this could turn into a repeat of the Q1 conference call discussion. I'm a little bit surprised you're not moving guidance here. 
 Q1 is not typically your very strongest quarter. Your guidance sort of implies it is, but your sales growth guidance implies you have better sales growth in the next 3 quarters. your gross margin 3 out of 4 quarters have been 43% or higher. It seems like you're setting a new baseline there. Unless there's a lot of discretionary spend that's coming back. At minimum, you're at the high rate, high area of guidance based on the numbers you're putting out there unless I'm missing something? 
David Huml: Steve, we would share your optimism on the start to the year. We think it's a really strong performance for the company, coming off a record 2023. And so, we share your optimism for the future. Having said that, we've got a lot of -- our strategies are hitting, and we feel confident in our ability to reaffirm guidance. We've learned from the past that 1 quarter does not make a year. 
 And so, as we came to the first quarter, the impact of the strategies that we funded and activated around the world are moving us in a positive direction, but still landing our forecast within our guidance range. And so, we thought it was appropriate to reaffirm guidance, but we share your takeaway that we're optimistic from the start we delivered in Q1 and our outlook for 2024 is on the positive side. 
Steve Ferazani: So, what changes given that you maintain that sales growth guidance, and I know this margin was even higher than we've seen. What is your expected -- I mean you've done 43% for 3 out of 4 quarters. Is there a reason you give back some margin in the remainder of the year? Or again, and I ask is, is there more discretionary spend outside of ERP implementation, which you back out anyway? I mean what's there in the numbers that maybe we see in the remaining quarters it wasn't in this quarter? 
David Huml: Yes. Really, margins are strong in the quarter. And when you unpack the margin performance, we're up 320 basis points on a quarter-over-quarter basis. We're up 220 basis points sequentially versus Q4. When you look at the underlying drivers, let's talk about the inflationary environment to start. Inflation is lower year-over-year but higher than we expected in the quarter. And so that dynamic, while we have more than offset it with our actions, we're watching inflation closely. 
 The 4 levers we pull to drive margins are price, we monitor and drive mix to the extent we can, cost out and productivity. So let me comment on the components of our action plan around gross margin expansion. From a price perspective, we feel really good about our price realization, and we're capturing the pricing that was captured in our backlog. So, as we relieve backlog, we are realizing that price. As backlog reduction begins to reflect units that were booked closer to today's date, there will be less pricing impact. 
 So, the pricing impact from backlog reduction begins to moderate throughout the year. That's just one component of our margin expansion in the first quarter. From a mix impact perspective, again, most of our -- to be higher margin than our commercial product. And so, while we continue to meaningfully reduce our industrial backlog, we will benefit from that component in our margins. We are aggressively taking cost out of the business. We layered in a lot of inflation like most manufacturers around the world over the last 2 years. And our team has done a fantastic job populating a funnel of cost out opportunities prioritizing those. 
 We've resourced them and going after it to realize the cost of benefit in our margins. Cost out benefit is lumpy. Some of them have a long lead time to implement and realize. But we feel good about the funnel there. But in a given period, it can be lumpy in terms of the impact we deliver within a quarter. And lastly, productivity. Our plants are running very well, particularly our plants in Minneapolis that builds our industrial product is operating in a very high productivity and setting record output levels. 
 A benefit of the investments we've made in the plant from a CapEx perspective, resourcing adds we've made across supply chain as well as the benefit of backlog reduction coming through Plant 1. So, when you look at the components of gross margin, there are some puts and takes we think we have it well in hand. And when you look at our 44.2% gross margin, it's really in the ballpark of our historical. And so you specifically mentioned are there incremental S&A investments.
  We will continue to invest to drive our growth, but it's all baked into our forward-looking guidance. And so, we felt like if we came through the quarter, we understood the drivers of gross margin. We know what we've spent on from an S&A perspective to start the year, and we lean in heavily on growth. And we continue to expect to continue to make those investments throughout the year. 
Steve Ferazani: Great. Appreciate the detail on that, Dave. I do want to -- before I try to do you want to ask about the early signs on Rover. Is that now available? It sounded and I may have misheard this. It sounded like you were preparing to expand production capacity for Rover. Is that -- did I hear that right? And should that be a signal that early demand signs are positive. 
David Huml: Thanks, Steve. Yes, you did hear that right. Early demand signs from customers are very positive. We think this can be a real game changer for us in driving robotics adoption. And you heard right on the strength of the customer reaction to the product, we're now fully launched in terms of communicating the specifics of the product, its performance, its features, the pricing on the response from customers, we are evaluating the opportunity, the potential to increase our production output on a full year basis. 
 Having said that, -- the X4 ROVR relies on some high-end sensing devices like 3D LiDAR and light cameras that have long lead times because the world is moving towards robotics and sensing. And so, we thought it was prudent given the early optimism from customers to begin the work to understand our potential to increase our production output. And what we're trying to evaluate is how quickly can we increase the production output how much could we realize in '24 versus 2025 and have a lay of the land. 
 We are not launched with the product yet. So, we have 3 commitments to customers and a lot of energy and excitement around it. I'm really excited about it, but we're not out in the market. We'll launch it in the market in terms of shipping production units in North America in Q2 and the remainder of the world in Q3. So, this is really preparing given the very high positive returns and customer sentiment we got from prelaunch communications and activities. 
Steve Ferazani: That's great news. 
Operator: Your next question comes from the line of Tim Moore of GF Hutton. 
Timothy Moore: And pretty amazing work on the gross margin expansion well beyond what anybody was expecting in consensus. But I just wanted to maybe start out with the press release on the i-mop -- the International expansion rollout timing. I mean, can you kind of maybe remind us roughly what the sales in the U.S. for the i-mop have been the last year and how you think you can position that abroad? And if those pilots or demonstrations have already kind of started? 
David Huml: Yes. Thanks for the question. It gives me a chance to kind of expand a bit on how we view i-mop and more broadly, the opportunity in small space cleaning. And so, we don't break out specific product sales or specific product sales in this geography. But I will tell you that our small space offering is a key component of our enterprise strategy. It's 1 of the 3 focus areas within our new product innovation lever.
 It's a very interesting product because it's material in terms of its contribution within a given geography and a given channel, et cetera. But as part of a small space offering, it really gives Tennant company the opportunity to address a broader space of applications for new and existing customers. So let me expand on that why I say new and existing. For existing customers, many of our customers have small spaces within their building that we're already cleaning their large spaces. 
 So, from that context, it's an add-on sale. It's an opportunity to give them a solution to replace their Mappin bucket, you clean in the restroom, the brake area, the food prep area. So, it's an add-on sale that has a relatively lower cost of sales but allows us to grow our share of that customer's pocket. And for new customers, it's giving our selling organizations an opportunity I call it a door opener, I recently go in on call on customers that occupy smaller spaces and where our legacy machines have maybe been too large to accommodate cleaning in those spaces. 
 And so, a lot of energy and excitement around i-mop. This expansion of our ability to sell the tenant branded i-mop product gives us the opportunity to sell in Brazil, France, Portugal and Spain. These will be our first countries in EMEA that we have access to this product. And we're really excited about it. Like I said, not only for selling to existing customers into their small space applications, but approaching new customers and new verticals. Lots of upside for it, and it has a halo effect or an ancillary effect that when you open doors to new customers to sell them a small space product, you could also introduce them to the rest of the tenant and IPC portfolio, including our product line extensions and AMR. 
Timothy Moore: That's terrific color. And it's pretty amazing enhancement you've done in the last 1.5 years getting more into smaller spaces and some of the warehouses and middle-sized stuff. Maybe my next question, maybe I don't know it might be more for Fay. Fay, I was wondering maybe if you can give us an update on the ERP modernization plan that cost range. Is that still kind of in line to your budgeting? And maybe you have a little bit more about how you're going to phase that out. Is it going to be going by geographies? 
Fay West: Yes. So, we spent about $7.5 million in the quarter on our ERP, and we've kind of highlighted that through our material. We anticipated this year that we would spend about $37 million roughly, and that's cash out. So, the numbers that I'm quoting are cash, not necessarily expense or for capital. So, we are on -- we're trending on target for what we thought we were going to spend here in 2020, 2024. 
 We are in the design and build phase Things are progressing as we've anticipated. The entire organization is engaged and we are kind of on time line and on budget. And so, we anticipate that we will have a phased rollout in 2025 and starting kind of second quarter time line and rolling that out through the organization through the middle of the fourth quarter of next year. 
Timothy Moore: That's terrific, Fay. I appreciate that. Just one last question. I think seasonally, it looked like working capital has been kind of a free cash flow outflow, I think similar to kind of what you did in the first quarter of 2022 and 2021. I mean is that fair to assume that, that will kind of recoup itself over the next couple of quarters and the working capital gain will be as severe, it's really more kind of March quarter? 
Fay West: Yes. And we should see -- and I mentioned in the prepared remarks, that it's typically our lightest quarter in the first quarter. We did have kind of benefit payments that came off this quarter as you compare it to prior year that we're influencing our operating cash flow. We do anticipate seeing kind of incremental operating cash flow in the next 3 quarters, and we are targeting to meet our free cash flow conversion target on a full year basis. 
Timothy Moore: Terrific. 
David Huml: Thanks, Tim. 
Operator: Since there are no further questions at this time, I would like to turn the call over to management for closing remarks. 
David Huml: Thank you. Since we have a few extra minutes, I want to take the opportunity to recognize and thank the Tennant's team globally for all of their hard work and efforts to deliver on a fantastic first quarter for the company. Thank you all for your participation today and your interest in tenant company. This concludes our earnings call. Have a great day. 
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.